Operator: Good day and welcome to the Sempra Energy First Quarter Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Faisel Khan. Please go ahead.
Faisel Khan: Good morning. And welcome to Sempra Energy’s first quarter 2020 earnings call. A live webcast of this teleconference and slide presentation is available on our website under the Investor section. Several members of our management team are on the line with us today, including Jeff Martin, Chairman and Chief Executive Officer; Dennis Arriola, Executive Vice President and Group President; Justin Bird, Chief Executive Officer of Sempra LNG,; Trevor Mihalik, Executive Vice President and Chief Financial Officer; Allen Nye, Chief Executive Officer of Oncor; Kevin Sagara, Chairman and Chief Executive Officer of San Diego Gas & Electric, and Peter Wall, Senior Vice President, Controller and Chief Accounting Officer. Before starting, I would like to remind everyone that we will be discussing forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. As we continue to monitor the potential impact from the ongoing pandemic is important to keep in mind that actual results may differ materially from those discussed today. The factors that could cause our actual results to differ materially are discussed in the company’s most recent 10-K and 10-Q filed with the SEC. All the earnings per share amounts in our presentation are shown on a diluted basis and that we will be discussing certain non-GAAP financial measures. Please refer to the presentation slides that accompany this call for reconciliation to GAAP measures. I would also like to mention that the forward-looking statements contained in this presentation speak only as of today, May 4, 2020 and the company does not assume any obligation to update or revise any of these forward-looking statements in the future. With that, please turn to Slide 4 and let me hand the call over to Jeff.
Jeff Martin: Thanks a lot Faisel. And thank you all for joining us today. We hope everyone staying safe and well during this public health crisis. And our hearts certainly go out to all those who've been impacted by this pandemic. In the midst of all this, we're reminded that our employees face health risks in their daily lives and unique challenges in performing their jobs. That's why our first principle here at Sempra has been and continues to be keeping them safe. On this slide we provide a few examples of some of the health and safety initiatives that we've implemented all while providing critical services to our customers and supporting our communities. Specifically, we've issued additional, personal protective equipment for our field employees and implemented revised protocols for customer engagement. We've hired an infectious disease expert to assist us in implementing safety procedures for all employees. We've instituted travel bans and limited building access. Employees that can work from home continue to do so. We've rolled out enhanced resources for employees such as technology reimbursements, revised sick and emergency leave policies and expanded mental health services. And we've invested in our communities by committing over $8 million across the Sempra family of companies to help those providing critical services to those in need. I cannot be more proud of the commitment and dedication of all of our employees during this period. It is one of those times of great challenge where notwithstanding the fact that many of us are working remotely, that it's our values and mission that continues to unite us. We're actively monitoring the situation and will revise our protocols as necessary to continue providing safe and reliable service to over 35 million consumers each day. Please turn to the next slide. Before discussing the quarter, I'd like to take a moment and thank everyone who joined us for our virtual Investor Day just over a month ago. We certainly appreciated having the opportunity to provide you with important business updates and highlight our overarching strategy. You'll recall that at the core of that strategy is our mission, where we've made a commitment to build North America's premier energy infrastructure company. And one of the important takeaways from this call we believe is that we're continuing to make great progress on that mission. Most recently, we've completed the sale of our Peruvian businesses and expect to close the sale of our Chilean businesses later this month. We also achieved mechanical completion and began the startup of the third and final train at Cameron LNG Phase 1 and at ECA Phase 1. We just recently finalized two sale and purchase agreements totaling 2.5 million tons per annum. These 20-year agreements with high credit worthy counterparties highlight the strategic advantage of being able to offer liquefaction capacity to our customers from facilities on both the West Coast and Gulf Coast. Again, the execution of these two new agreements speaks to the market need particularly right here in North America for critical new export infrastructure. We'll be discussing these developments in more detail later in today's presentation. In combination, our strategy, capital rotation program, improved capital discipline and effective execution have improved the earnings power of our company. And this can be seen in our strong first quarter results. Giving these positive developments, I'm pleased to say that we're reaffirming and more importantly guiding to the upper end of our 2020 adjusted earnings per share guidance range. We are also reaffirming our 2021 EPS guidance range. Please turn now to Slide 6. Two years ago we laid out a strategic plan to reposition our business and improve our financial performance with three key objectives in mind. First, to focus our portfolio on the most attractive markets in North America.  Second, to utilize our skills and strong operating history to create a Tier 1 leadership position in those markets. And finally, to position our business in that portion of the energy value chain, where we believe we can produce the most attractive risk-adjusted returns. Looking at our portfolio today, we've made great progress. Focusing our geographic footprint on leading energy markets in North America, while further improving the quality and strength of our earnings. This approach has helped create a higher growth and more resilient infrastructure platform is well positioned to compete through different market cycles and deliver long-term value to our stakeholders. Please now turn to Slide 7 where I'll provide an overview of our South American business sale. As many of you saw we recently completed the sale of our equity interest in our Peruvian businesses to an affiliate of China Yangtze Power International for total cash consideration of approximately $3.6 billion. Additionally, we continue to advance the announced sale of our equity interest in our Chilean businesses to China State Grid International Development for an anticipated sales price of approximately $2.2 billion. I like to emphasize that all parties remain quite motivated to complete the Chilean transaction and we're targeted to close later this month. Also think it's important to mention that closing the Peru transaction is yet another example of our ability to execute our strategy even in a challenging business environment. Please turn to the next slide. Our management team continues to strive to be prudent stewards of your capital. Our recent efforts over the last couple years have resulted in approximately $8.3 billion of announced proceeds from completed and pending asset sales. This capital recycling has provided us with the level of capital efficiency as we expanded our utility footprint in Texas with Oncor and as follow-on grew that platform with the subsequent acquisition of InfraREIT. Now I'd like to turn the call over to Trevor to review our current liquidity position and credit profile, as well as to discuss operational and financial result. Please turn to the next slide.
Trevor Mihalik: Thanks Jeff. Many of you saw a similar slide at our recent Investor Day, but here we've revised it to reflect our updated liquidity position. I want to call out the largest change which is the incorporation of the proceeds received from the sale of Peruvian businesses. As of Friday, Sempra Parent's liquidity is over $6 billion, up significantly from the $3.3 billion at the Investor Day. Combined Sempra Parent's SDG&E and SoCalGas at $6.7 billion of revolving credit capacity. Those facilities are currently undrawn other than support for the approximate $600 million of commercial paper that's outstanding at Parent. As this slide illustrates, the combined Sempra family of companies have a very strong liquidity position. We currently have nearly $10 billion of liquidity including cash on hand and undrawn committed credit facility. This is before the sale of our Chilean asset, which we expect to conclude later this month. It also excludes Oncor, which has a strong liquidity position with roughly $2.5 billion. When we talk about the resilience of our business, liquidity is an important part of that because it helps us ensure that we can safely operate our businesses, fund our capital plan and support the growing dividend. Please turn to Slide 10. Now I would like to discuss the steps we're taking to improve our credit profile. Our Board of Directors and management team have taken a series of discipline steps to allocate capital more efficiently, while improving our credit metric. Specifically, we've diversified our US utility rate base into the pure play T&D assets in the Texas market, divested US renewables generation and non utility natural gas storage asset; issued $6.5 billion of common equity and mandatory convertible preferred stock as part of the $9.45 billion acquisition of Oncor and moved two of the three trains of Cameron LNG Phase 1 into operation. With the third only months away and optimized project economics and cash flows through refinancing nearly half of its project debt. When in full operation, this will provide a valuable and recurring stream of cash flows. In combination, the result has been a continuous decrease in the ratio of our holding company debt to total debt, while improving the quality of our earnings mix and business risk profile.  With this in mind, we also continue to target approximately 16% FFO to debt and 50% debt to total capitalization by year-end. We do not plan to issue any common equity to fund our current capital plan. Please turn to Slide 11. This quarter we had several positive developments at our US utility infrastructure businesses. First, at SDG&E, we had our FERC cost of capital all party settlement approved, notably our FERC authorized ROE will now be 10.6% including the continuation of the 50 basis point CAISO adder. This is an increase of 55 basis points over our previously authorized ROE of 10.05%. As a reminder, SDG&E needs FERC rate base is approximately 40% of its total rate base. We're pleased with this decision and believe it benefits all stakeholders. Second at both SDG&E and SoCalGas, we recently filed a joint petition for modification related to 2019 the general rate case. Further CPUC's direction we requested attrition rates for our fourth and fifth years. At SDG&E, we requested 4.77% and 4.64% for 2022 and 2023 respectively. At SoCalGas, we requested 4.95% and 4.16% for 2022 and 2023 respectively. In support of a five-year rate case outcome, we believe these attrition rates are reasonable and should enable us to continue investing in critical infrastructure designed to deliver safe and reliable energy to our customers and the communities we serve. We requested a final decision on this matter by year-end.  Shifting to Texas, Oncor continues to execute on its capital plan, about 90% of the projects in Oncor's transmission budget through 2021 do not need further approvals before commencing construction. On the distribution side Oncor connected approximately 18,000 new customers in the first quarter. Furthermore, overall demand in ERCOT actually increased in the first quarter of 2020 over the first quarter of last year. The increase was roughly 1%, but it's still notable given the market backdrop. In addition, Governor Abbott has announced a phased reopening of businesses to help restart the Texas economy. Please turn to Slide 12 where I'll discuss developments at Sempra LNG and Sempra Mexico. Starting at Cameron LNG Phase 1. We've achieved mechanical completion introduced feed gas and initiated the startup process for Train 3. Importantly, this keeps us on track to produce LNG in the second quarter and to place Train 3 into service early in the third quarter. At this point, construction is essentially complete and we look forward to bringing the entire facility into operation soon. As a reminder, we expect this project to generate full run rate earnings of $400 million to $450 million annually and nearly $12 billion of after-debt service cash flows back to us during the 20-year contract period. Shifting to the LNG market and our development project. We've had a long-held belief that new LNG infrastructure will be needed by the middle part of this decade to support increasing demand. But fewer projects expected to take FID as a result of reduced capital spending in the oil and gas sector and some LNG developers being financially constrained. We believe there will be an even greater need for our projects. Our financial strength and advantaged locations on the West Coast and Gulf Coast helped provide us with a competitive advantage to continue to grow our LNG infrastructure platform. Along these lines, as Jeff mentioned earlier, we recently signed 20-years sale and purchase agreements with Total and Mitsui for a total of 2.5 million tons per annum at ECA LNG Phase 1. We continue to work closely with the Mexican government to secure the final SENER permit and to reach FID. We continue to target FID this quarter and we're optimistic the permit can be issued in a timely manner to support that. Shifting to Port Arthur LNG Phase 1. This past quarter, we announced a fixed-price turnkey EPC agreement with Bechtel. However, given the current market environment, we've updated the FID timing for the project to 2021. We continue to work with our current and potential customers on the optimal timing of the project and will continue to be disciplined on how we allocate capital to the project. Turning to Sempra Mexico. We're continuing to develop projects that provide cleaner, more reliable energy as well as energy accessibility for the people of Mexico. We're continuing to monitor the situation, but as a result of the current pandemic, it's reasonable to expect that some of the construction capital will be deferred from 2020 to 2021. Nevertheless, we believe demand for our existing network of pipelines and power assets remain strong and are critical to the people of Mexico. Please turn to Slide 13. Looking at our financial results, this was a really excellent quarter. Earlier this morning, we reported strong first quarter 2020 GAAP earnings of $760 million or $2.53 per share. This compares to first quarter 2019 GAAP earnings of $441 million or $1.59 per share. In our ongoing effort to build resiliency and continuing to resolve legacy matters, we reported two charges in the first quarter. First, we recorded a charge of $100 million related to our previous ownership of the RBS Sempra Commodities trading business. This charge represents an estimate to settle certain tax related legal matters associated with activities of more than a decade ago. Second, we recorded a $72 million after-tax charge related to the 2015 Aliso Canyon incident. We have recently engaged in settlement discussions with private plaintiffs related to the civil litigation. As you may recall, we settled with the government plaintiffs in 2019 for $120 million. For more information regarding Aliso Canyon, please refer to our 10-Q.  Shifting back to the consolidated earnings. On an adjusted basis, first quarter 2020 earnings were $932 million or $3.08 per share. This compares favorably to our first quarter 2019 adjusted earnings of $534 million or $1.92 per share. Please turn to Slide 14. The variance in first quarter 2020 adjusted earnings when compared to last year was affected by the following key item. $66 million of income tax benefit in 2019 at the California Utilities resulting from the January 2019 regulatory decision that provided direction on how to allocate certain excess deferred income tax balances. This was offset by a $174 million of higher earnings at the California Utilities from higher CPUC based operating margin, net of operating expenses including $120 million of lower CPUC base operating margin in 2019 due to the delay in the issuance of the 2019 GRC final decision. $136 million variance at Sempra Mexico due to the impacts from foreign currency and inflation effects net of foreign currency hedges. $85 million of higher earnings at Sempra LNG from higher equity earnings from Cameron primarily due to Train 1 and Train 2 commencing commercial operations under their tolling agreements in August 2019 and February 2020 respectively. As well as higher earnings from Sempra LNG marketing operations primarily driven by changes in natural gas prices. $38 million of higher earnings from higher electric transmission margin and SDG&E including impacts from the March 2020 FERC approved TO5settlement preceding and $11 eleven million of higher equity earnings at Sempra Texas Utilities driven primarily by the impact of Oncor's acquisition of InfraREIT in May of 2019 and higher revenues due to rates being updated to reflect increases in invested transmission capital. This was partially offset by higher operating cost and lower consumption due to weather. Please turn to the final slide. Our management team is very pleased with the progress we've made so far this year. The accomplishments discussed are a direct result of the successful execution of our strategic mission to be North America's premier energy infrastructure company. And we feel well positioned for success going forward. The key for us is to stay focused on executing our capital plan, which is primarily focused on our California and Texas utility. We also are committed to ensuring the delivery of safe and reliable energy to our customers and communities we serve, enabling energy security and diversification locally and globally and expanding energy accessibility. In combination, our strategy, well-executed capital rotation and disciplined execution of our CapEx program are all designed to improve our business resiliency and overall financial performance. Finally, I'd like to thank all of our employees particularly those on the frontlines who have continued to work diligently in pursuing our mission and safely serving our customers and community. We're fortunate to have such a talented and dedicated workforce. One that has maintained a culture of high performance during this challenging period, which has impacted us all in various ways.  With that we will conclude our prepared remarks and start to take your question.
Operator: [Operator Instructions] Our first question will come from Stephen Byrd with Morgan Stanley.
StephenByrd: Families are doing okay in this challenging time. I wanted to first just touch on ECA and the process from here in terms of the export permit. Could you just talk in a little more detail in terms of just what the steps are to get through that process? The review by SENER and sort of just where we stand just so we can try to follow that a little - a little more closely.
JeffMartin: Thanks Stephen for that question. I'll provide a little bit of context where we're at from the LNG standpoint and then I'll pass it to Dennis who's been following that closely both on the US government side as well as the Mexican side. I think one of the things that we just like to call out for purposes of this call is we've long talked about the competitive advantages of our companies, Stephen, around scale and financial strength in the LNG space. Our long history in the natural gas space dating back to the middle part of the 1800s. The geographically advantaged nature of our project and the fact that four out of five of them are brownfield project, which we believe gives us a cost advantage. So assigning three contracts in the last three weeks. I think, it speaks to the importance of these advantages and we talked about a little bit in our prepared remarks. We've been very, very clear and consistent about our view of there being a deficit and needed export infrastructure all around the world in the middle part of the decade. And I think, as you think about the market dislocation is occurring in the oil and gas market. This is the time where we think that the need in the middle part of the decade will only become more acute because the low prices of today are allowing for greater market penetration for LNG both in new markets in Europe and particularly East Asia by the way. And I think that this same market is challenging. Many of the other less well capitalized developers. So to get two new contracts essentially to sell out the capacity of ECA is a big positive. And I would also mention this is the first time ever in the history of our company, we've had all of our customers at Cameron sign up for Phase 2. So that's a nice step forward as we look to continue to development there, but the next big step in terms of FID is the heart of your question, which is the SENER permit and I'll pass that to Dennis for additional commentary.
DennisArriola: Thanks Jeff and hi, Steven. Yes, look, there's no doubt that what's going on in Mexico with the pandemic has the government focused on that. And it is impacting the timing of the SENER approval. But I think that one of the other things - we've taken into consideration that this is the first time this SENER has had to approve an LNG export facility in Mexico. So it's a different animal for them. But having said that the discussions our teams have had with various members of the administration in Mexico, including the President himself that gives us great confidence that SENER permit is going to get approved. It's just a matter of timing and when you look at what's going on in Mexico and specifically in Baja California, this project is extremely important to that region given the number of jobs it's going to bring; the economic stimulus and just the impact it's going to have on the municipality. So we've been having conversation with the governor of the state and he's extremely supportive of this project and has spoken out on that. The other thing I've mentioned is when you look at this project; it's not only good for the US and our natural gas producers. But it brings badly-needed foreign direct investments Mexico. It brings natural gas to customers and businesses in the region and it also provides offtake customers in Asia with a highly competitive and strategic access point on the West Coast. So this is a winner. It's just a matter of time.
StephenByrd: Understood. So if I'm sort of hearing that correctly certainly Covid can cause delays but it's not as if there's some sort of change out of politically or policy-wise just that would drive a different outcome or more challenge than we've seen before.
DennisArriola: No. We don't believe so. Again, I think everyone understands the economic impact and what this does not just to export gas through Mexico, but it actually brings natural gas to that region, which badly needs it.
JeffMartin: I'd also add to Dennis's point, Steve, too is the level of support we've had from the Secretary of Energy, Secretary of State, the entire administration here in the United States has also been quite helpful. So I mean our forecast remains that we'll get the SENER permit in the second quarter. We've got the right team in place to do it. I think we have to be sensitive to the fact that everyone not just the United States, but in Mexico is taking the Covid challenge very seriously. And that's certainly impacting the delay as the agencies are currently shut down.
StephenByrd: That's really helpful color. And if I could just follow up separately on Oncor, we've always liked the growth outlook in Texas. I wondered if you could just refresh us in terms of just potential areas for additional spending, other policy objectives in the state or just any other areas of upside as you look at your Texas business.
JeffMartin: Sure. I'll tackle that at a high level. We've got the benefit of having Allen online and I'll pass it to Allen. And I'll go back to kind of fundamentals of Sempra is. I think if you've followed Stephen for a long time we've really been trying to strategically reposition the company more around utility investments in the United States and secondly specifically T&D investments. So California really is an infrastructure opportunity because we're decoupled here. This is all about deploying capital for safety and reliability in the state of California. Very, very similar in Texas not all is Oncor not commodity exposed, they don't own generation. So we're very attracted to that T&D business model, the Allen lay down at our Investor Day $11.9 billion record five-year capital program for his business and you may recall he had a separate slide on additional capital opportunities. So even though they're seeing some impacts from the pandemic in Texas like a lot of other places. Number one Governor Abbott is reopening the state. And number two really interesting feedback on the demand even in ERCOT, a year-over-year demand in Q1 was up not down which is interesting and one of the things I've been intrigued by is even as you think about impacts in the Delaware basin or the Permian, you still have a very high percentage of drillers. They're using standby generation and there's a huge price discount, it allows them to lower the marginal cost of production, if they can connect to the grid. So the activity in Allen's team remains quite high. But I'll stop and, Allen, if you can provide some more commentary about the diversity of your load and the diversity of your growth. I think that might be helpful to Stephen. 
AllenNye: You bet. Yes. And thanks Stephen for the question. And I think Jeff covered most of it, but just to reiterate our $11.9 billion over five years, we still feel good about the 3.5 based on what we know right now for this year. We actually have a little upward pressure. You may have seen we've spent a little more in Q1 than we had anticipated. But we still have - we have for example increased in generation interconnection request. I think the last time we talked we had about 10 at the analyst conference. We're up to 13 now for this year's plan. We are continuing to see some pressure in West Texas with our transmission projects out there, both on the construction clearances and on the right way side.  So we're seeing some increased CapEx there and while West Texas certainly we're going to see some offset with the customers delaying projects and things like that. Just as a data point as of last week, we did receive 22 initiative additional requests for new oil and gas load in West Texas. So we have our transmission projects that we're working, three-year project in West Texas to Jeff's point four, five with ERCOT last week identifies approximately 40% of the load in that region, oil and gas load is self-generating right now that we continue to build to those operators. I mentioned the renewable generation uptick and we're continuing invest in reliability projects and congestion relief in the area. So we feel good is based on what we know right now about our 3.5 this year as Jeff also mentioned in the Analyst conference we had a better part of a $1 billion identified as additional incremental. We'll just see how that goes, what the needs are; some of that is deferred maintenance based on the significant growth we've had over the last few years. But that's where we are right now. We feel good based on what we know about the 2.5. There are still opportunities on our system to invest. We connected 18,000 new premises in Q1. Some of those certainly will be deferred and delayed depending on how long this goes. But overall right now we feel good about our 2.5 and plus we have the incremental capital available, if necessary.
Operator: Our next question will come from Shahriar Pourreza with Guggenheim Partners.
ShahriarPourreza: Hey, guys. How are you doing? Good morning. How are you doing? Just a couple questions here on the credit metrics there's obviously a review that's outstanding, but you obviously have a very good capital recycling story with the South America asset and delevering. How patient sort of are the rating agencies on seeing the sell-through and the plan that you highlighted today? Including a noticeable reduction in the holdco debt. It's a 90-day review period. So how are their conversations going and how do we sort of think about taking the downgrade? The potential downgrade versus incremental equity that could satisfy their balance sheet concerns. You're obviously full speed ahead in LNG and regulated CapEx opportunities.
JeffMartin: Shar, I appreciate the question. And I think I'll start back in 2017 in the summer. We were looking at making the investment in EFH. We spent a lot of time with the agencies in around how we would finance the transaction. You may recall we even increased the amount of equity we used in that transaction to accommodate kind of our goals. At that time, we set out a goal that would support an investment grade plus rating to acquire that business. And one of the things you recall we did was we actually laid out a broader strategic reposition of the business about how we were moving from being South America invested to be and North American focused and not just in North America but around a different quality of asset around T&D, which I think lowered our business risk profile. At that point in time, we laid out some goals with the agencies through 2030. I mean through 2020 I'm sorry. And I think part of the discussion we had in Investor Day and on this call is really is the progress we're making toward those goals. So I think our business today with Cameron coming online with us more invested in North America and with us more invested with regulatory diversity into Texas and particularly pure-play T&D. We've made a lot of progress. I think, Trevor, perhaps you can update us on the metrics that we're tracking to and how you think we're doing for the rest of the year with the agency.
TrevorMihalik: Sure, Jeff. Thanks for the question, Shar. As Jeff said, we are continuing to target our FFO, the debt metric 16% by the end of the year and what we are also doing with the recycling of the capital targeting, our debt to cap ratio of around 50%. And we brought our Parent debt down to about 26% by the end of this year. So look, we continue to work with the agencies around our plan, help them understand how we've significantly de-risked this business. And as I said at the Analyst Conference and reiterated today. We don't have to issue equity to reach these metrics. I will say that our high BBB plus rating is important to us. But we also need to balance that with what's also important to our shareholders. And then the last thing I would also point out that we have pushed Port Arthur into 2021 and this is one of the areas that the rating agencies have raised that, if you get into LNG in a big way they would look at this and so we believe this is a very strong credit profile.
ShahriarPourreza: Got it. Thank you for that. And then just on slide 8 where you talk about sort of capital location. There's some language obviously there where you reference further expanding your utility footprint in Texas and I know Allen touched a little bit on the capital opportunities. Can you just maybe a little bit elaborate further on this? Is this organic? Is it inorganic? Are you kind of referring to the remaining ownership stake you don't own with Oncor, with TTI? Or do you see other opportunities there? Just trying to get a sense.
JeffMartin: Shar. I appreciate giving us the opportunity to clarify that. If you go back and look at the prepared remarks, what we're really talking about was the level of capital efficiency that we could generate from a relatively ambitious capital rotation program that we announced in the first half of 2018. Because as you see on that slide, it talks about announcement pending proceeds of about $8.3 billion and we bought Oncor for $9.45 billion, I mean, the EFH portion of Oncor as well as spending about another $1 billion on InfraREIT to us effectively taken place is we've taken non-core assets or assets in South America and in the process of selling those we've effectively rotated them into Oncor and InfraREIT. And this really goes to the heart of your credit question because you're getting higher quality earnings and you're getting a lower risk profile. And I think that's reflected in the original commitments we made to the agencies back in 2017. And then I would just go on to say that we're opening up a center of excellence in the second half of this year in Houston at the Galleria that's really to support the growth in Justin's business and LNG is we look could continue to support both Cameron Phase 2 and Port Arthur from that Houston office. So look, it is a market of strategic significance to us. I think the purpose of that slide, Shar; it's really highlighted capital efficiency of rotating from those businesses into a new market for us.
ShahriarPourreza: Got it. So nothing in organic for you within the state.
JeffMartin: That's right.
Operator: Our next question will come from Steve Fleishman with Wolfe Research LLC.
SteveFleishman: Hey. Good morning. Mainly just follow up here. So just on the - from the Texas business Oncor, do you have any data yet for the month of April since that was really when we had the - [Multiple Speakers] 
JeffMartin: That's interesting. We talked a little bit about, yes, we talked a little bit about that the overall growth profiling in ERCOT was up year-over-year and then Allen has some data for April 1. I think as you expect it's going to be different by asset class. But I think at least now and you can speak to this. I think your overall distribution revenues are up in April compared to last year. But I'll let you speak to what you're seeing on the system.
JeffMartin: Allen, are you there? 
AllenNye: Sorry. Yes. I'm here. I hit the wrong button. Thanks for question, Steve. Here's what we've got for April. Overall distribution based revenues are up 1% versus April '19 that includes residential revenue increased by about 10% versus April last year C&I is down 5.5% versus last April. Weather normalized about 1.7% lower with distribution rate that based revenues about $4 million coming off a quarter of $150 million in revenue. So that's what we've got. That's what seen so far in April. We're continuing to expect weather to be the largest driver for the remainder of the year as we talked about before. Weather typically goes plus or minus 25 in revenues and plus or minus $20 million in net income. 16 of the last 21 years have been positive in that regard So we'll see what's going to happen there. And then as someone mentioned earlier on the call, I think it was Trevor, with the governor phasing the opening of Texas. We expect to see some positives there as well. But we'll just have to see how it goes as it opens. But those are the numbers we have for April so far. Thanks.
SteveFleishman: Okay and just one follow up on that. So if you're obviously seeing a continued shut in very meaningful nominal of Texas oil rigs in particular that when we think of giving the self generation that a lot of them do and your mix that is not going to be kind of a big overall driver to your margin or how should we think about that?
AllenNye: Yes, Steve. Let me try -
JeffMartin: Sorry, go ahead, Allen. 
AllenNye: To try to address it this way, approximately 12% of our overall revenues come from West Texas; of that amount approximately 38% to 40% are on the industrial side. So the rest are residential or commercial. So that's probably some guidance on what the exposure is there. Jeff, I'm sorry I interrupted you.
JeffMartin: Oh, that's okay. I think that's very helpful. Another thing I was going to say to, Steve is that Allen's team continues to update us on, I think, something in the neighborhood of 30% or 40%. Allen, correct me if I'm wrong still you stand by generation that you have to 25%, 30% level. So there's still a clamoring for people who are producing to move to the grid but most of Allen's capital program is laid out for this year and next year's pretty much locked in the not really on incremental new growth, but catching up to a growth that's already been registered on the system. But is that a fair way to characterize it, Allen?
JeffMartin: That's correct, Jeff, both on the CapEx over the next couple of years as well as the report that we started has 40% of oil and gas load basically in the region on self-gen. Thank you. 
SteveFleishman: Great. One other general question, so just the - like to see you point to the high end of the 2020 range getting everything that's going on. So just some of the things that happen this quarter like FX can move around. So just when you think about - when we think about what's driving you to the high end of that range. Could you just kind of give a simple view of what the drivers are for that?
JeffMartin: Sure, Steve. I'd be glad to. I'll provide a little bit contexts about how I'm thinking about it and Trevor can speak to some of the drivers in the quarter. Well, I think we feel fairly confident going forward. One of the things we've done as a team, Steve, is I think back to what we tried to accomplish in 2019. You may recall having followed us that we had original guidance of $5.70 to $6.30. And in the second half a year, we raised last year's guidance just $6.00 to $6.50 and still exceeded that. You may recall just in our Q4 call we reported full-year adjusted earnings of $6.78. So we had a banner year yet last year with record earnings of $1.91 billion on adjusted basis. So to put that in perspective in the first quarter of this year we have produced and recorded roughly one half of the earnings from full year 2019, right. So even though it's early in the year, we have a pretty robust view of what we think we should accomplish. And a lot of it, Steve, is driven by the fact that across our utilities we remain on track with our capital programs which are fairly aggressive. and I'll conclude before passing to Trevor that one of the things we've agreed to do on our team is as we go into the summer, we're going to do a full bottoms up on our 2020 and our 2021 guidance range and make sure that we're in a position to make the appropriate adjustments as we go into our Q2 call. So we're quite bullish on our forecasts for 2022 and we're going to try to update that and take a second look at 2021 as we are closer to our August call But, Trevor, perhaps you can talk about some of things that you're seeing from the quarter that causes our confidence level to be high for the remainder of the year.
TrevorMihalik: Sure. Thanks Jeff. Good afternoon, Steve. Jeff really did cover a lot of this, but again I would direct you maybe to slide 14 of the deck where we did the waterfall up from last year. And again, if you take a look at some of the big drivers, you certainly are seeing the numbers at the California Utilities with the CPUC based operating margin up $174 million, very constructive rate case that we are now seeing the impact as we're implementing the rate case and providing safe and reliable service to our customers. Also, we had a good result from the FERC around the T05. And so, that also is in the transmission margin at SDG&E of $38 million as we implemented that. And then, again Cameron, we saw Train 2 come on a little early and we're hopeful that maybe Train 3 could come on a couple of weeks early and that will also give us a great deal of surety around where we're going to end up for the year. And then, Oncor continues, as Allen said, to implement their capital plan. So, we feel very, very good about the three utilities executing on this robust capital plan during the year. And then, of course, we do have mechanisms that are being put in place at the three utilities to protect from any potential downside associated with the pandemic. So again, I think that's why we felt pretty good about guiding to the upper end of the range.
SteveFleishman: Okay. I apologize; I just wanted to ask one clarification with Jeff. Just the review of 2020-2021, as you go into the middle of the year. Are you kind of saying with a bias to the upside, given what you did last year, and same thing happened as opposed to kind of dealing with pandemic-type risks? That I just wanted to clarify that.
JeffMartin: One of the things to remember Steve was in our June Analyst Day, which was in New York in 2018, we went ahead and talked about our '18 guidance and our '19 guidance, and actually put out and published our 2020 guidance, right. The $6.70 to $7.50. So, we put out that $0.80 range back in June of 2018 and that's even as we were just starting the sales process for our solar and wind. We made a decision at that point to sell South America. So, we had executed across a relatively sweeping capital rotation program, at the same time that we've been rotating capital back in the California and Texas. So, I think what you're seeing is, we had strong momentum last year while we were executing our capital rotation program. And then, you're seeing that carry through into this year and we go through a pretty bottom up process to keep an evergreen plan. But look, I think what you're hearing is, we had a remarkable first quarter in 2020. We're guiding to the high end of the range. We typically don't change our guidance this early in the year. We're certainly going to be positively inclined as we review both 2020 and 2021 as we go into the summer.
Operator: And our next question will come from Jonathan Arnold with Vertical Research Partners.
JonathanArnold: Hi, good afternoon. Oh, good morning to those of you guys. Hi, first on the Mexico and FX gain in the quarter, obviously on the 20% devaluation, your rule of thumb would have pointed to a bigger number. But, you tell us back then there are colors and other reasons, it wouldn't be linear. I'm just curious, is there anything embedded in Q1, where you, any hedging costs to be tried to lock some of this in perhaps or are we still open going into the rest of the year?
JeffMartin: Thanks a lot, Jonathan. I'll start with some context and pass it to Trevor; he'll review the rule of thumb and will go through the financial statement impacts. But I always want to go back to first principles, which, we've been in this business for about 20 years in Mexico, and one of the things I think has really been a critical advantage for us, has been that our contract portfolio is U.S. dollar denominated, which is a big plus in that market, and we've got contract tenor in that portfolio of over 20 years. So, we have a great long-term contracted portfolio, which is U.S. dollar based. And that comes with the obligation that at year-end, you remit your tax liability in pesos. So, Trevor's team has traditionally done a very good job of having a hedging strategy allows us to lock-in and supports our plan. And I'll pass it to Trevor to review the rule of thumb and the impact in the Q1 financial statement. And I think this is one of the things that is always important for us to talk about, when we talk about Mexico.
TrevorMihalik: Perfect, thanks, Jeff. Yes, so, Jonathan, again, I would direct you to our rule of thumb that basically says, for every 5% move in the peso, it's roughly about a $45 million of earnings impact. And again, I want to emphasize that this earnings impact is really a non-cash impact. And so, you ultimately kind of have to pay the taxes. And as Jeff said, we're U.S. dollar denominated in Mexico, but we pay taxes in the peso. So, when you actually look at Table F, and Table F is that the detailed financials that we show by each of the businesses that we put out in the morning with regards to our press release. You'll see that there are three big line items that are being impacted by FX. It's really other income that was $283 million negative in the current period, and then you have the income tax line item, that's $307 million to our benefits and that's really kind of where all of the depreciating peso manifests itself on the P&L. And then, there are also line item equity earnings. And there is - the equity earnings really is the inter-company loan that we have with the marine pipeline and that's offset really - the FX impact there is the offset in the other income and expense line item. So, quite a few moving pieces, but as Jeff said, we do look to put a hedge strategy in place really to protect ourselves from very large moves on the upside or the downside and we're really kind of at that, bumping up against that right now with regards to any further P&L benefit.
JonathanArnold: So, can I - I mean just as we say like, my question is, have you locked in any of the benefit at this point of the year?
JeffMartin: So, Jonathan, we take roughly the same approach every year, it's largely based on a costless collar. And we don't typically lock in and we have a range that we guide to and the whole goal really is to minimize impact to the plan and I think we're comfortable with what our plan is today and what we've recognized. I think, Trevor is basically saying that it's skewed basically to protect you more on the downside than upside, so you usually have a little bit more openness to a positive movement than a negative movement. We don't spend a lot of dollars to lock in the plan at any number like this.
JonathanArnold: And then just, can I ask for a little, on Chile, I think you've said you're expecting to get it done this month. And so you have reckoned in Investor Day, I think you had said that you were sort of waiting on still making the NDRC filing in China, that's the last step. And that was hopefully going to be days away. So I'm just - can you give us a - has that now been made? Or is that statement about this month sort of based on expectations of when we reopen to be able to get that last piece done?
JeffMartin: Thank you, very similar to what we're experiencing in Mexico, obviously the healthcare crisis is impacting; it's a global issue, right. But we talked about this a little bit when we talked about our capital recycling program and current liquidity in my prepared remarks. But, certainly, Jonathan, we feel like we've got momentum coming out of the approved deal, the conversations now are really around closing mechanic. Dennis, perhaps you can provide us some additional color about our confidence level for May.
DennisArriola: Sure. Thanks, Jeff, and hi, Jonathan. Yes, basically, as Jeff mentioned, we're focused on getting this thing done. I think given the fact that, China really was closed down in March and April; there is some back up in some of the approvals that have been taken place. But I'll point you to one important fact here, Space Act, which is the commission in China that approves M&A type investments outside the country; it has already approved State Grid International's investment in Chile. So that's really important. Everything that we're hearing from the State Grid International executives and their advisors and conversations that I've had, personally had with Chairman Shu of State Grid International is, they want to get this thing closed as soon as possible. This is very strategic to their company going forward. And as Jeff mentioned we're now focused really on the details and the logistics related to the closing. As you'll recall in Peru, we were able to do this virtually and we're trying to get everything done even though there is limited travel in and out of Chile. But given where we're at and the commitment and the motivation by State Grid to get this thing done, we're expecting to get it done before the end of the month.
Operator: And our next question will come from Julien Dumoulin-Smith with Bank of America.
JulienSmith: Hey, good morning, good afternoon. Thanks for taking the time of you all well. Just a couple of clarifications, probably coming back on this, but just with respect to credit, I just want to clearly understand your expectations, both in respect, what are the current minimums the rating agencies are looking for versus the numbers I think, Trevor, you articulated just now to your year-end target? And then related to that, how do you think about ECA going FID, some of the other IEnova spending moving out, how does that all filter into what the rating agencies are looking for? And again, I'm just looking to understand this relative to the Moody's moves away.
JeffMartin: So, I would just say that, as I've articulated earlier in today's call, Julien is that, we've spent a tremendous amount of time with all three agencies going back to the summer of 2017. And as we started a strategic repositioning of the Company, we laid out a set of metrics that we would guide to and that set of metrics was designed to a couple of things. Number one, we wanted on the qualitative side to make sure that we were taking steps to improve our business risk profile, at the same time that we made firm commitments around the balanced capital structure and moving to a 16% FFO to debt. So over the last three years, our targeted metrics have come down. We feel very comfortable about the commitments we've made. And what you're hearing Trevor say is, we're tracking to the commitments we've made in 2017 that were designed to make sure that we can maintain an investment grade plus credit rating. I do think Trevor has raised a good point. Some of the agencies have been more focused on whether the LNG business has a different risk profile. And I think what we point to there is, in contrast to 2017 where we were in construction mode, we're now in operating mode at Cameron and proceeding quite well toward Train 3 being online, that also will be very important. So I think what the agencies are looking for is, number one, can you complete your capital recycling program, and we're on track to do that in May of this year by closing Chile. Number two, can you Commission Train 3 on time, and then you may recall there are some guarantees related to the construction lending that falls away in the period of time after that. So we're tracking toward a basket of metrics that we've laid out going back to the summer of 2017. And we're also operationally, trying to hit our capital program produce high quality financial result and stick to our commitments around the capital recycling program. So Trevor made this comment that this is always a balance of interest, even having Port Arthur pushed into 2021, will take some pressure off those discussions. With each of the agencies, they have their own metrics that they evaluate and what we're trying to do is, we're trying to hit the ball right down the middle of the field, around the metrics that we committed to in 2017, we think our progress has been quite good.
JulienSmith: Got it. Said differently, you articulated to the rating agencies back then and they are still committed to the same path. And they're taking whatever actions they deem appropriate, but at least from your perspective, you are following through, you work on doing exactly what you've told them a couple of years ago?
JeffMartin: That's right. And look, we have great relationships with all of them. I mean this is a tough time for all of us, given the current market environment, I'm sure they are dealing with a lot of stuff too. We have very constructive relationships and what we're trying to do is, make sure in a very earnest way, Julien that we stick to the commitments that we've made regarding maintaining our investment-grade plus rating.
Operator: And our next question comes from Michael Lapides with Goldman Sachs.
MichaelLapides: Hey, guys. Thank you for taking my question. I [Tech Difficulty] can you just help us understand what - how much of the year-over-year uptick in the California Utilities is driven by the delay in the rate case? And how much is driven by what would have already recognized in the case in this year and if you could break it out for each of the utilities that would be great.
JeffMartin: Michael, you'll recall that we got our rate case approved in Q4 of last year. And this was the first ramp-based decision that the Commission has faced where Kevin and Brett laid out all the different types of spending requirements relative to the risk that they were counting in their operating environment and, in round figures, you saw an approved revenue requirement for SDG&E, that was a CAGR of about 5.7% annually across the three years of the rate case and closer to 8.5% for SoCalGas. So these were very, very robust spending requirements around robust needs on the capital side. So we knew, in Q4, and you saw the recognition is that related back to January 1 of 2019, it was a very robust decision for us, and it gave us a lot more certainty around the spending we needed to have for safety and reliability. And as you come into this year, you're seeing that spending take place. The one catch up piece which you're referring to is the FERC decision that decision relates back to June 1 of 2019. I think the key takeaway as you think about the guidance discussion we've had in our prepared remarks and during the Q&A is that our three utilities in general are right on track on the capital program and they're doing a great job of making sure that they're managing a very, very safe workplace and a safe environment for the community. So a lot of what you're hearing us talk about is we have a very constructive view of the rate decision. So think about this, we got not only a three-year rate decision, we got our cost of capital confirmed, then we got our transmission cost of capital at FERC confirmed and now we're filing for the attrition mechanisms for years four and five. So effectively, you've got a five-year runway for your California Utilities on this rate case. You have a constructive attrition mechanism; you've locked in your cost of capital in the State of California. And just in the last six weeks, you've locked in your FERC cost of capital. So the level of visibility we have to a constructive regulatory environment in California is probably as high as it's ever been since I've been with the Company.
MichaelLapides: Okay, thank you for that, Jeff. I just want to make sure that, if I'm looking at the Slide 14 that Trevor noted on, of that $174 million in year-over-year earnings with the Utilities, at the California Utilities, $120 million of that could have been recognized in the first quarter of '19, and something around $54 million of that is really kind of incremental to the first quarter of '20. Am I thinking about that right?
JeffMartin: Yes, let me let Trevor speak to the specifics of that slide for you, Michael.
TrevorMihalik: Yes, generally, Michael. If you look at that, the $174 million is the uplift from the rate case across the two utilities, but again because we got the rate case late in 2019, a piece of that are retroactive back and the piece that's retroactive, of the $174 million, it's roughly two-thirds retroactive. And then one-third is the continuing uplift from that number. So again, the $174 million is the full impact of the rate case. But if we had gotten the rate case on a timely basis, you could assume that roughly two-thirds of that $174 million would have been kind of not in a variance number.
JeffMartin: Just I'll add is, I mean, because the Q1 of 2019 did not have rate case there.
MichaelLapides: Understood, that's super helpful guys. And then one thing on Cameron, just the capital structure, can you remind us how much of that debt is bullet debt and how much of the debt is the amortizing debt? In the bullet debt, what kind of maturity schedule is that? Is it during the lifetime of the contract? Is it beyond the lifetime in the contract? How does that work?
JeffMartin: I'll pass that to Faisel, who is handling that for us.
FaiselKhan: Yes, there is - Michael there is more maturities and all these bonds are traded in the public market. But it's roughly a $3 billion of bond. Three of those are bullet maturities in '35 - sorry in 2035 and 2038 and 2031, the last one at 2039 bond is an amortizing bond. All of those bonds mature before the end of our contract date.
Operator: And next will be Anthony Crowdell with Mizuho.
AnthonyCrowdell: Hi, good morning. Hopefully, I can ask one question and one follow-up. So, just specific to Port Arthur, the decision gets pushed until next year. Is the challenges related to that decision more on the demand side, the supply side or just the global economic overhang right now because of the virus?
JeffMartin: Anthony, this is Jeff. I appreciate the question. We certainly think that what's unique about Port Arthur; you'll recall that that's the one Greenfield project we have in our portfolio. The other four are brownfield and have a cost advantage, and the real value of Port Arthur is its scale. So there are really three mega projects on the drawing board globally today. Arctic LNG, which is going forward in North Russia; the Qatari project, which has been delayed; and the Port Arthur project. And I think we've got the benefit of having Justin with us here today and maybe Justin, you can talk about where we're at on the marketing side and what you're doing to actually make that project more competitive.
JustinBird: Yes. Thank you, Jeff, and thanks for the question, Anthony. So again, I think our permits of the LNG business are that we saw a need for additional infrastructure in the LNG space in the mid 2020s. We think North America will play a critical role in that and frankly we at Sempra think, on a risk adjusted basis, we can earn returns in excess of those of our utilities side. So, at Port Arthur, we see again a great opportunity, really, as Jeff said about the size and scale of that project. We are currently working with Aramco and with PGNIG as the optimal timing for this project. To the heart of your question, I think there are really three things. One would be the state of the financial markets. I think the ability to go out and project finance Port Arthur in the current market is somewhat limited. Second, to your point, is a bit of the marketing. I think in the short term, we see some uncertainty and unpredictability given what we're seeing in the oil prices. And the third thing I'd say is that we, at Sempra, in partnership with Bechtel, see some opportunities to potentially decrease the cost of the construction, given that we're seeing a global slowdown on large capital projects. So, we think frankly this project can be stronger, although delayed. We think it will be bring a better return to our investors and frankly be a better project for our customers.
AnthonyCrowdell: Great. Thanks. And my follow-up, this is kind of, I guess, following up on Shar's question. The company has done a great job of recycling capital on the transition to more core assets; the LNG gets pushed out potential year, potentially longer. There's some dislocation in market values right now. Does the company look to replicate your success, maybe of what's going on the last two years with buying of Texas assets and looking at other assets in the U.S.?
JeffMartin: So it's a good question, and I think that we have tried to be very, very disciplined on the management team and with our Board of Directors of laying out a strategic repositioning of the company, right. So we've had a pretty sweeping program over the last two plus years. I think the team has executed very well, I think, Dennis and Trevor and Kevin Sagara and others have all been part of that program. So we're very pleased with the fact that we've gone from being a Western Hemisphere focused company to being a North American focused company and specifically in North America, we're coming much more weighted toward U.S. utilities with less focus on California, more going toward Texas. I think one of the things I would take away from your question is, Oncor is a very unique opportunity, right, you had 80% position in a pure play T&D Company, probably the number one asset in America that had some distress around it and it was something we had looked at for a long period of time. So it was an opportunity, as part of capital recycling to go into Texas with a marquee purchase. But look, we don't, we don't talk about future M&A, really I think what we're really focused on is we have a very attractive capital program and we're going to execute it with a lot of discipline and focus.
Operator: Thank you. Our next question comes from Jeremy Tonet with JP Morgan.
JeremyTonet: Good morning. Thanks for having me. Hi, good morning. Just wanted to kind of turn back. We have a couple of conversations here and just given the conversations that we've been having with regards to the Moody's outlook and kind of maybe their impression of the LNG side, just wondering if that - if it goes into how you think about future LNG expansion FIDs going forward or how you go about financing it? Any thoughts that you could share there?
JeffMartin: No, I would just say that I think we're really excited about the progress we've made at Cameron, right? So as we bring the third train of Cameron on in Q3 of this year, that is a really valuable asset to us. We're going to be very, very disciplined. We talked about this at our Investor Day. Certainly, we've made a great step forward with ECA. Now, ECA is a smaller project of about 2.5 million tons per annum and I would also note that the tolling structure at Cameron was fairly unique and having now for the first time all three MOUs in place is a positive signal for Cameron. So yes, Port Arthur is slipping a little bit, but as we go into the future, what you should expect us to do is look at all sources of capital. There is a tremendous amount of low cost private equity capital out there today and we'll look to basically approach this business model as an adjacency with a very disciplined approach and we've said before, we think that we'll either get a much significantly higher equity return that we do in our utilities or we will not proceed on a project. So by seeing us announce the contracts that you've seen at ECA that should be validating to you that we're seeing the opportunity to proceed in a disciplined way that returns a lot of value to our shareholders.
JeremyTonet: That's helpful, thanks. And then just a clean-up if I could, with regards to the Mexican CapEx, I think you said, it could be delayed and I was just wondering if you could provide a little bit more color on what type of CapEx that is and granted, it's a small part of the portfolio, but any sensitivity to EPS this year or next?
JeffMartin: Look, obviously, Mexico is a little bit further behind the United States relative to the pandemic. And I think very similar to the path you saw us take at Sempra, where we want to make sure that we preserved our liquidity and our balance sheet strength as we headed into this environment, I think they're doing the same thing, they're making all the prudent moves you expect them to make at IEnova perhaps, Dennis you could comment on the steps they've taken to strengthen their balance sheet and liquidity and how you're thinking about the CapEx program for 2020?
DennisArriola: Sure. Thanks. Thanks, Jeff and Hi, Jeremy. Yes, from an IEnova standpoint, I think they're doing all the right things as Jeff said. Number one was they strengthened their overall liquidity position and cash and available credit lines, close to $1 billion as of right now. They've been focused on operating expenses, those things that don't need to be spent, are not being spent. And from a CapEx perspective, what I would tell you is that the Company, the management team in Mexico is really been focused on getting done those projects that are near completion. If you think about the storage terminals and some of the other projects that we have that are nearly done, those are going to be completed. In other cases, we're looking at other projects where we don't have all the - the full approvals or permits and talking with our customers to see if it makes sense for both parties to potentially push off or delay CapEx. So no major announcements to be made there today other than I think we're taking a very prudent look at what's happening in Mexico. I think we continue to believe that the energy picture in Mexico over the long term is a really positive one and IEnova is better positioned and anyone to take advantage of that, but I think the management team there is being very prudent about its resources.
Operator: Thank you. Our next question comes from Ryan Levine with Citi.
RyanLevine: Hi. Given the extensive cost cutting review that Sempra has completed over the last few years, does COVID-19 bring to light any additional opportunities across the business portfolio?
JeffMartin: Yes, it's interesting that you asked that question. I think that we're all learning about flexible work schedules and the value of working remotely. I mean, the building that I'm in currently, we've had almost practically all of our corporate staff working from home. So one of the things we're doing under the leadership of our Chief Human Resources Officer is part of the task force that Dennis heads up is, we're going to do an enterprise-wide look at how we think about workspace relative to people that can work from home, even though our Utilities today, which have been deemed essential workers, we have a large workforce in the field. We also have a lot - several thousand people working from home as well. So you're absolutely right. We've had two different cost initiatives over the last two years, led by the parent company and we will review as we transition folks back to work, what office space is needed and what type of changes we make to flexible working, but this is probably something that almost every business will be reviewing as they try to find ways to support their employees improve productivity and perhaps find ways to take more cost out of their business. But thank you for asking that question.
RyanLevine: Okay. And then one related to Texas. Thank you for the disclosure around the 90% pre-approved CapEx spending through 2021 within Oncor. Is there any color you're able to share for 2022 and beyond in terms of the CapEx that already has pre-approval with ESGP?
JeffMartin: We laid out at our Investor Day, kind of the five-year numbers for each of our business, what leads around the utilities and their total number, there is $11.9 billion, and what he was speaking to was obviously the certainty he had in '20 and '21. We haven't provided forward guidance relative to the certainty of the 2023 through 2024 numbers, but we feel very good about the capital program. And I think one thing that would make you feel a little bit better Ryan is, in the Investor Day presentation, Allen laid out another roughly $1 billion of capital in addition to the $11.9 billion and that provides that we made at Investor Day was, don't think about that as incremental capital to the $11.9 billion, it really gave Allen and Jim Greer and the team the opportunity that if one project slipped, they had plenty of other projects, whether it was maintenance CapEx or otherwise, that they can slip in there. So I think it was our perspective that, that incremental capital slide really was intended to give us confidence that there is $11.9 billion capital program there over five years.
Operator: And our next question will come from Sophie Karp with KeyBanc.
SophieKarp: Hi, good afternoon. Most of my questions have been answered. I just wanted to have a quick follow-up on Texas. From not to beat this horse to death, I guess, but I think the perception has been historically that you like Texas and you wanted to get potentially bigger in Texas. Is that wrong or is it just the timing is not right, you are being more cautious on that. Could you maybe comment on that a little bit? Thank you.
JeffMartin: Sure. I think if you went back to our 2017 numbers, roughly 70% or just over 70% of the earnings composition of Sempra came from our California Utilities and we think California is a very constructive regulatory environment. We felt like longer term, we were looking for opportunities to get more regulatory diversity. We also think that Texas is a good role model by having their retail market separate and they have a pure T&D model. So as we thought about our strategy, our desire to have more of a bond like portfolio where we were not exposed to as much downstream consumer risk, nor exposed to upstream commodity or generation risks, the Texas marketplace very much reflects how we think about the best risk-reward for our stakeholders. So we certainly, we like the marketplace, we like it even in today's climate. I think as you heard Allen and the team talk about, the certainty they have around their capital program and their earnings forecast, it's really all the reasons why we wouldn't be in that marketplace and you saw us add to that portfolio with InfraREIT and we've announced that the opening of the Houston office to support our LNG growth. Even though Justin's team has delayed Port Arthur, if where Port Arthur to go forward that will be the largest civil works project in North America, right. So Texas is really is a market of priority for us. I think it achieves a lot - it checks a lot of boxes we think about strategically.
Operator: Thank you. That does conclude the question-and-answer session. I'll now turn the conference back over to Jeff Martin for any closing or additional remarks.
Jeff Martin: Thanks a lot. Well, look as we look to close the call, I want to thank all the employees that have joined to get an update on their Company and thank everyone from the sell-side and the buy-side community for listening in today. We know you have a lot of options in terms of where you invest your time and there were certainly some other calls going on concurrently. But we appreciate it, having the opportunity to update you on our results. Most importantly, hope everyone stays safe during these challenging times. I appreciate all of you joining and free to reach out to our IR team per custom with any additional questions. This concludes today's call.
Operator: Thank you. That does conclude today's conference. We do thank you for your participation. Have a wonderful day.